Operator: Good day, ladies and gentlemen, and welcome to the PJT Partners First Quarter 2016 Earnings Call. My name is Janaida, and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will be conducting a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Sharon Pearson, Head of Investor Relations. Please proceed.
Sharon Pearson: Thanks very much, Janaida. Good morning, everyone, and welcome to the PJT Partners first quarter 2016 earnings conference call. Joining me today is Paul Taubman, our Chairman and Chief Executive Officer; Ji-Yeun Lee, our Managing Partner; and Helen Meates, our Chief Financial Officer. Before I turn the call over to Paul, I want to point out that during the course of this conference call, we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties, and there are important factors that could cause actual outcomes to differ materially from those indicated in these statements. We believe that these factors are described in the Risk Factors section contained in PJT Partners' 2015 annual report on Form 10-K, which is available on our Web site at pjtpartners.com. I want to remind you that the company assumes no duty to update any forward-looking statements. Also, the presentation we make today contains non-GAAP financial measures, which we believe are meaningful in evaluating the company's performance. For detailed disclosures on these non-GAAP metrics and their GAAP reconciliations, you should refer to the financial data contained within the press release we issued this morning, also available on our Web site. With that, I’ll turn the call over to Paul.
Paul J. Taubman: Good morning. Thank you all for joining us today. Our first quarter results reflect the positive momentum in our business. We are pleased with our financial results which saw revenues for the first quarter of 2016 increased 40% over the same period last year. The significant growth in this quarter was driven by strong performances in both the Restructuring and Park Hill businesses, while our Strategic Advisory business is well positioned for growth in future quarters. Based on where we stand today, we continue to be confident in the near, intermediate and long-term prospects for our firm. I want to provide a few business highlights from the quarter that underline our confidence. Our Restructuring business was able to capitalize on the favorable environment and maintain its leadership position. Our business was ranked number one in the U.S. and number one globally for both announced and completed restructuring deals for the first quarter of 2016. While we are benefitting from the opportunities in the distressed energy sector, our restructuring mandates span a broad variety of industries and geographies. Our assignments involve metals and mining, shipping, transportation, consumer retail and the telecommunication sectors in more than 20 countries around the world. Some examples include Oi and GOL [ph] in Brazil, Kenya Airways and creditors to an Icelandic Bank. Our backlog at Restructuring continues to grow and is at its highest level since the financial crisis. As we have consistently said, we have made and will continue to make major investments in the Strategic Advisory business. We expect these investments to begin to pay off starting next year. As a bit of context, approximately half of our Strategic Advisory professionals had been with the firm for less than a year. We are pleased with the pace of our progress based on the significant number of client mandates and announced transactions achieved in a very short period of time. In addition, the level of meaningful client dialogues has accelerated appreciably. We continue to add best-in-class talent to our Strategic Advisory franchise as we expand their footprint and build our business. We hired five managing directors in the first quarter, three in the U.S. and two in Europe and further added to our industry and product capabilities including private placements and equity capital markets advisory. We have an attractive pipeline of potential hires and we intend to continue to hire throughout the remainder of the year. Our leading Park Hill business delivered strong revenue growth for the quarter compared to the same period last year, by leveraging its broad global reach, specialist model and depth of relationships. An important part of our growth strategy is maximizing the power of our three businesses through increased collaboration. Given the strength of Park Hill’s relationships, it has become a principle connector across our three businesses. For example, as we build our corporate private placement capabilities, our advisory business has been able to leverage Park Hill’s client and investor relationships. Now, before I turn it over to Helen, I want to address the matter involving Andrew Caspersen. Nothing especially to me is more important than our reputation. We are all outraged by this extraordinary breach of trust. We have done everything we can to cooperate with the authorities and while the criminal matter is still pending, I wanted to state the facts as we know them and frame its impact on our firm. What we know is as follows. Andrew Caspersen began working at Park Hill on January 7, 2013 while Park Hill was part of Blackstone. He came over to our firm as part of the spin transaction on October 1, 2015. He was terminated for cause on March 28, 2016. During his employment, Caspersen targeted his friends and family and took in approximately $39 million by offering fraudulent investments. All of the fraudulent transactions were perpetrated by Caspersen acting alone. The majority of the fraudulent transactions occurred pre-spin but the largest of the frauds occurred post-spin. None of the parties who participated in the fraudulent investments had ever done business with Park Hill or PJT. Twice involving legitimate Park Hill client transactions, Caspersen deceived the two clients into paying our $9 million of earned fees to him. Shortly thereafter, he covered up these actions by paying us the fees due us from accounts that had names identified with our clients. We now believe those funds most likely came from the proceeds of the fraudulent investments. Once the evidence confirms this belief, we would expect those funds to be returned to one or more of the victims entitled to receive them, thereby reducing their loss by $9 million. As a result, we are taking a charge in the first quarter related to this fee payment fraud, which Helen will discuss shortly. Other than the fee payment matter, we have not discovered any tampering or irregularities in any Park Hill transactions during Caspersen’s time at Park Hill. In addition, at no time did he have access to our accounts, financial systems or controls. Further, contrary to what you may have heard or read, the nature of our business is such that we do not handle any third-party accounts or funds. We believe we have strong defenses in any claims that Caspersen’s victims may make regarding the $30 million of remaining losses and will vigorously defend any claim that may be made. In addition, we have insurance policies that we believe would substantially mitigate any exposure. No doubt this has been a significant distraction these past few weeks, while I do not want to minimize the seriousness of this incident, I am confident that we have the resources and the capabilities to manage it and that it will not affect the vision and path for our company that I shared with you all last fall. The response from our client has been overwhelmingly positive. Our business has been largely unaffected with the exception of some dislocations in Park Hill secondary advisory. Not one of Park Hill’s existing mandates was negatively impacted by this event and the pipelines across the private equity, hedge fund and real estate verticals remain on track. In the secondary advisory space, the near-term pipeline has been impacted but we are committed to the business and are confident that our team will continue to be a market leader. I will now turn it over to Helen to review our reported results, and then close with our outlook for the remainder of 2016.
Helen T. Meates: Thank you, Paul. Good morning. I’ll begin with reviewing the revenues for the quarter. Total revenues for the quarter were $115 million, up 40% compared with $82 million for the third quarter last year and up 11% versus the fourth quarter of 2015. Now the breakdown of revenues; advisory revenues for the first quarter were $82 million compared with $59 million for the first quarter of 2015, up 39% year-over-year with the year-over-year increase driven primarily by a significant increase in restructuring revenues. Placement revenues for the first quarter were $32 million compared with $23 million the prior year, up 38%. The year-over-year increase was driven primarily by an increase in fund placement fees particularly for private equity and real estate clients. Turning to expenses. Consistent with the prior quarters, we have presented both our compensation and non-compensation expense with a number of non-GAAP adjustments. We exclude the amortization of equity awards and intangible assets associated with the merger with PJT Capital and the subsequent spinoff from Blackstone, and you can refer to our press release for more details on the reconciliation of these adjustments back to our GAAP results. So first, adjusted compensation expense. For the first quarter adjusted compensation expense was $73 million compared with $68 million for the first quarter of 2015 and compensation expense as a percentage of revenues declined from 82% for the first quarter last year to 63% for the first quarter this year. And that decline principally reflects the fact that revenues increased 40% while our compensation expense increased only 7% in the same period. We also reduced our compensation expense in the first quarter to account for a $3.3 million charge that we have taken regarding the Caspersen matter, which I will describe in more detail. Now for the purposes of calculating comp expense, we treated this charge as a contra-revenue item and had we not taken that charge, the compensation ratio would have been 65% for the first quarter. Turning to non-compensation expense, and before I review the details of our non-compensation expense, I would highlight that the 2015 first quarter expense reflects the business when it was still part of Blackstone. Given the fact that we became a standalone public company on October 1 last year, the year-over-year comparisons are not particularly meaningful. With that background, total adjusted non-comp expense was $22 million in the first quarter 2016 compared with $17 million in the first quarter of 2015, and a non-comp expense ratio declined from 20% of revenues in the first quarter of '15 to 19% in the first quarter of 2016. Comparing these results to our fourth quarter, non-compensation expense, which was our first quarter as a public company, the non-compensation expense was roughly flat quarter-over-quarter even after accounting for the $3.3 million charge I just referenced. I’d finally note that our overall operating expenses in the underlying business are in line with our expectations. Turning to the charge that we booked in the first quarter, we booked a $3.3 million charge as I just mentioned relating to the Caspersen matter. That charge appears on the other expense line on the income statement and reflects two components. An expense accrual of $8.9 million relating to Caspersen’s fraud regarding the two client fees Paul just described and a $5.6 million offset to that charge based on our assessment that is as probable, we will receive an insurance reimbursement in that amount. And with that offset, the pre-tax charge is $3.3 million. As Paul has mentioned, at no time did Caspersen had access to or control over any of the bank accounts, financial systems or financial records of Park Hill. Turning now to pre-tax income. We reported adjusted pre-tax income of $21 for the first quarter of 2016 compared with a pre-tax loss of $2 million for the same period last year, and our adjusted pre-tax margin was 18%. Taxes, the provision for taxes was $1.3 million for the first quarter 2016 and resulted in an effective tax rate of 47.6%, which is elevated due to the permanent book tax differences resulting primarily from a transaction-related equity award. Share count; at the end of the earnings release, we’ve provided a summary of our share count including a breakdown of the share components. Our fully diluted share count using the treasury stock method is 36.4 million shares. On the balance sheet, we ended the quarter with $86 million in cash. Our net working capital balance was approximately $114 million and we had no funded debt. And finally, the Board has approved a dividend of $0.05 per share. The dividend is payable on June 22, 2016 to shareholders of record on June 8. Now, back to Paul.
Paul J. Taubman: Thank you, Helen. You heard earlier about the current constructive environment for our Restructuring in Park Hill businesses. I would like to share a few observations on the M&A market environment. As we have been predicting, we have seen increased regulatory scrutiny combined with enhanced market volatility, which should result in a decrease in M&A activity relative to 2015’s record levels. However, given the accelerating pace of transformation and innovation around the globe, we expect corporate boards and management teams to continue to use M&A as an important tool to manage change and find growth. In some ways, the more challenging the market backdrop, the more clients value high-quality advice. This plays to our strength. We continue to believe that our opportunities for market share gains are such that our advisory revenue should grow even if the overall M&A market contracts. Given our current pipelines and momentum across all of our businesses, we remain confident in the firm’s growth prospects for 2016. Thank you. With that, we’ll take any questions.
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Devin Ryan with JMP Securities. Please proceed.
Devin Ryan: Hi. Thanks. Good morning, everyone.
Paul J. Taubman: Good morning.
Devin Ryan: Maybe just coming back to the commentary on restructuring, I appreciate the update there and clearly there is an acceleration in activity in the back half of last year. And then at the beginning of the year with the spike in high-yield spreads and it seems we’ve seen a little bit of relief in spreads more recently. So I’m just curious. After the flurry, does it still feel like new activity is accelerating or do we need to see economic stress widen more broadly just to maintain momentum in new mandates?
Paul J. Taubman: Well, if you look at the number of mandates, we ended the quarter with more mandates than we began the quarter. So we continue to grow the backlog and to build the business. And one of the attractive parts of our restructuring is just the depth and breadth of our business. So while we’re clearly feasting on what is a very challenged market for energy and natural resource companies more broadly, the fact is we had a business that is remarkably balanced between energy broadly defined and non-energy. And it’s also extraordinary balanced around the globe. And we don’t see any signs that the restructuring business is not continuing to grow in terms of size, mandates or commercial opportunities. Like anything, it’s never in a straight line. So I’m not sure that quarter-to-quarter you’ll see the same increase. But if you ask us, do we have a more constructive view on our future now than we did a quarter ago? The answer would be yes.
Devin Ryan: Great, very helpful. And on the Caspersen issue, if you can share it’d be helpful just to understand the size of insurance policies that you guys have that could touch that? And then with respect to the Secondaries business that has been impacted that you noted, is there something that you think you need to do or that you’re hearing just to show before that normalizes or it’s just a matter of time?
Paul J. Taubman: Look, I think on the second of those questions, I think time is clearly helpful. If you think about near-term mandates during the swirl of the first 30 days, that’s not exactly the best opportunity. And as more and more facts have come out, as people appreciate this and understand that this really was completed unrelated to the Secondaries business. This was an individual perpetrating fraud going to family and friends and it could have been almost involving anything. It didn’t really touch any of our legitimate transactions. So the way we think about this is we have a much broader group in the Secondaries business and there are a number of very important mandates that we’re currently working on, which have great senior involvement and never involved Andrew, as an example. So, as more and more of that comes out, as more of the marketplace appreciates just the depth and breadth of our strengths in this business and as we get past the swirl of March and April, I am quite confident that we’ll continue to be a leader in the business. And if I look back at the disruptions and dislocations to our business, given the amount of press attention here, I would submit it was an extraordinarily modest impact on our business.
Devin Ryan: Got it.
Helen T. Meates: And then, Devin, on the insurance I would just say that we have not communicated any details of our coverage other than the statements we’ve regarding litigation.
Devin Ryan: Got it, understood. Okay, great. And just last for me here, it would be great if you could speak to any trend, if there is one, of the incoming inquiries from strategic corporates or sponsor firms? Just as your brand grows post-spin, I’m just trying to think about clients increasingly seeking you guys out for business and are there any anecdotes now that we are a couple of quarters away from the spin where you think business is coming to door that otherwise wouldn’t have? Just trying to get some perspective as the firm grows and we maybe move further away from the spin, kind of what you’re seeing?
Paul J. Taubman: Sure. Well, I think on that point every day that goes by, this is a very different firm than the firm that was spun off. And at some point, it’s hard to deconstruct what comes from what. There’s no doubt that the individuals who are joining this firm would not have joined under the old architecture just because the conflicts and the amount of business that would have been off limit. And every day we’re engaged in client mandates or we’re having client discussions that are in the pre-mandate phase or we’re aggressively working to convert mandates into successful announcements and completions that happen because the individuals who are on the field today are a stronger, more cohesive group of folks. So, every quarter that goes by you’re going to see a very different firm. And I would say that the way we look at the business right now is, are we getting invited into talk to clients where we previously wouldn’t have? And the answer is we’re having far more dialogues around a far broader set of corporate issues than we would have a year ago. We are getting mandated on a larger percentage of those situations. Our win rate when we present our credentials and compete continues to go up. Those are all of the things that are hard for someone on the outside to look at, which is why we always maintain that you’re not going to see the revenue benefit of this begin until 2017 and then see it accelerate beyond then. But we sit here today and we’re quite confident that the client roster that we’re building and the level of engagement that we have continues to grow.
Devin Ryan: Great. Thank you, Paul. Thanks, Helen.
Helen T. Meates: You’re welcome.
Operator: That’s all the questions we have for today. Now I’d like to hand the call back over to PJT management. Please proceed.
Paul J. Taubman: We appreciate everyone joining us this morning and hearing about our results. We will continue to engage with our shareholders as we always do. And we’ll speak to you the next quarterly conference call. Thanks everybody.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.